Operator: Ladies and gentlemen, thank you for standing by and welcome to the Uni-Select Third Quarter Results. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would like now to hand the conference over to your speaker today, Louis Juneau, Chief Legal Officer. Thank you, Mr. Juneau. Please go ahead.
Louis Juneau: Thank you, Lucy. Good morning, everyone, and thank you for joining us for the Uni-Select third quarter conference call. Presenting this morning are Brent Windom, President and CEO of Uni-Select and President and COO of the Canadian Automotive Group; and Eric Bussières, Executive President and Chief Financial Officer. Following their comments, we will open the call for questions. Please note that all documents referred to in today’s conference call, including this webcast presentation, can be found on our website at uniselect.com in the Investors section. As noted on slide two, I would like to remind you about the caution regarding forward-looking statements, which is applied to our presentation and comments. All amounts are expressed in U.S. dollars except as otherwise specified. As noted on slide three, recall that on January 1, 2019, the corporation applied for the first time IFRS 16 leases using the modified retrospective transition approach and did not restate comparative amounts of the year prior to its adoption as permitted. As a result, the 2019 interim condensed consolidated financial statements present significant variances when compared to 2018. Furthermore, with the adoption of IFRS 16 on leases, the geography of certain items on the statements of earnings, are impacted. Under the new standard, most leases are no longer treated as operating leases resulting into a higher EBITDA, while increasing the finance cost form the interest expense on lease, liability and a higher depreciation linked to the right to use those assets. As a result, we consider the earnings before tax as the preferable comparative measure to explain our results and performance. Please refer to the adoption of IFRS 16 Leases section of the MD&A for further detail. With that, let me turn the call over to Brent.
Brent Windom: Good morning. Thank you everyone for joining us. Please turn to page five. We'll review our third quarter results. But, before I begin, I would like to thank each of our 6,000-plus team members for their dedication to our customers and to the improvement of our business. We are pleased with our continued efforts and the execution of our Performance Improvement Plan in all three business segments. Over the past year and since I’ve become CEO of Uni-Select, we’ve taken concrete steps to navigate through headwinds, stabilizing the business where required and investing strategically. We have continued to optimize our network by making investments such as Canada's largest distribution center in Calgary along with a newly centrally located distribution center in the UK, opening greenfield stores in both UK and Canada and while accelerating our Performance Improvement Plan. Our third quarter results were in line with expectations despite the continued macroeconomic and refinish industry challenges in some key markets. FinishMaster’s profitability continually improved on a sequential basis as the adjusted earnings before tax increased by 70 basis points. In the UK, while our business faced a prolonged uncertainty surrounding Brexit, the cost saving initiatives recently put in place started to impact our third quarter with marked profitability improvement of 330 basis points and will materialize in a more meaningful way in the fourth quarter, while the Canadian Automotive Group continued its momentum -- its growth momentum and increased profitability. In the quarter, we integrated 8 more stores ending the quarter with 446 stores and generated additional $13.2 million for a total of $42.4 million in annualized savings, since we launched the Performance Improvement Plan. In constant currency, our sales increased 1.9% in the third quarter, primarily driven by the number of days billing and acquisitions. While organic growth was positive 1.3% of CAG and given the softness of the refinish market FinishMaster was slightly negative. TPA was negative 2.6% due to the macroeconomics of Brexit and the loss of the national account at the end of 2018. On a year-over-year basis, the adjusted earnings before tax decreased 31% to $14 million, or a margin of 3.2%, mainly due to challenging conditions at FinishMaster and TPA, as well as higher financial expenses. These factors were partially offset by the continued positive performance in Canada. Also note, on a year-over-year basis, the IFRS 16 had a marginal impact of less than 15 basis points on the adjusted earnings before tax. As expected, we maintained our net debt level, similar to the last quarter of 530 million, which included $104 million of lease obligations. If you would please turn to page six for update on the PIP. Following the in-depth analysis of the operations and the cost structure of TPA during the quarter, we identified complementary areas of action. Additionally, certain initiatives inside the CAG will allow us to further optimize the supply chain. These two factors combined are expected to increase our targeted annualized cost savings by an additional $5 million. As a result, the annualized cost savings as a direct result of the PIP are now expected to increase from $45 million to $50 million by the end of 2020, of which more than 80% or $42.4 million have been realized by the end of September. At the end of the second quarter, we said our savings would reach $45 million and the associated restructuring costs of $20.5 million would be completed by the end of the fiscal 2019, and that is still the case. As it relates to additional $5 million of annualized savings and restructuring costs announced today, we expect to be -- we expect those to be realized by the end of the first quarter of 2020. Please turn to page seven. The review of the strategic alternatives is following its course as indicated on the outset of the process. We have not determined a definitive schedule. However, we are continuing to work diligently on this front. Given the nature of the process, the corporation does not intend to provide further updates until such time the Board approves a definitive transaction, a strategic alternative or otherwise determines further disclosure as appropriate. There is no guarantees that a review of the strategic alternatives will result in a transaction, or if a transaction is undertaken of its terms o timing. Now, let's turn to the business on page eight, please. Sales for the third quarter at FinishMaster were up 70 basis points, driven by the different number of billing days. The softness in the refinish market offset -- somewhat offset the growth in the national accounts and price increase impacts for the quarter, resulting in a slightly negative organic growth of 50 basis points. On a sequential basis, the adjusted earnings before tax margin increased by 70 basis points, which is an encouraging sign. In fact, the quarter, we continued to execute the PIP with the integration of 8 stores, increasing the total to 22 stores year-to-date. The integration process of stores is seamless to our customers as we're able to redistribute the business to the other parts of the network with only a marginal impact on our revenues. On a year-over-year basis, the adjusted earnings before tax reached $13.4 million or 6.2% of sales, compared to the $16.7 million or 7.8% of sales last year. The decrease is as a result of the evolving customer mix and pricing pressure, partially offset by the savings of the Performance Improvement Plan. On October the 25th, we announced the appointment of Rob Molenaar, as the interim President and COO of FinishMaster following the resignation of Chris Adams. Mr. Molenaar has been instrumental in the development and execution of the PIP for FinishMaster. He has significant industry-specific restructuring expertise, including a deep knowledge of the automotive refinish space with over 25 years at one of the largest global paint manufacturers. We have commenced the internal and external search for the new President and COO. If you would turn to page nine, Canada. In constant currency, the sales increased 5.7%. This increase was primarily driven by acquisitions, the effect of the number of billing days and a positive organic growth of 1.3%. The organic growth was driven by loyalty programs, growing our independent customers, the promotion of private brands was somewhat offset by the timing of the sales of PBE. In the quarter, we continued the integration of our latest acquisition of Autochoice Parts and Paints, a 17-store chain in the Atlantic region. The integration is progressing well and is on track. The acquisition has proven to be positive -- it would be a positive addition to our network. Our adjusted earnings before tax reached $6.9 million, or 5.1% of sales, up from $6.2 million or 4.7% of sales last year. The increase was driven by the improved performance of our Company-owned stores, our PIP initiatives and partially offset by FX. At the end of the quarter we sold ProColor banner program for a net gain of $19.4 million. We will continue to support the ProColor banner with a long-term supply agreement. This transaction had no operational impact on the quarter as it was completed on September the 30th. Going forward on an annual basis, it will have no impact on our sales and less than $2.5 million impact on the profitability of which about one-third is expected to be offset over time. Let's turn to page 10, please. In the UK, in constant currency, our sales were slightly down, 30 basis points versus the same period last year, somewhat offset by the number of billing days as well and the acquisitions and the negative organic growth of 2.6%, while the overall market is impacted by the prolonged effect of Brexit. And if you exclude the loss sales contract from the fourth quarter last year, our organic sales were marginally down for the quarter. Also bear in mind that we were also against a very strong comparable quarter last year where we generated organic growth of 9.4%. Having said this, this is important to understand that the long-term fundamentals of the UK auto parts aftermarket remain sound. Recall that since we acquired TPA, we have opened 18 greenfields and expect to open 2 in the fourth quarter this year for a total of 5 in 2019. On a year-over-year basis, the adjusted earnings before tax was $1.8 million or 1.9% of sales compared to $4.3 million or 4.2% of sales last year. This decrease is primarily due to lower sales volume, recent investment in greenfields and being partially offset by the savings of the PIP. Our initiatives will not only benefit us in the short term, but they will position the business positively for the -- as the market recovers. As mentioned TPA’s results were a marked improvement of 330 basis points of profitability on sequential basis, the positive sign that the actions taken to adapt our cost structure and our productivity model have started to bear fruit. In fact, in the third quarter, we realized $5.9 million in annualized savings. These savings will materialize in a more meaningful way in the fourth quarter as we get to the full benefit of the actions taken throughout the third quarter. With that, I will now turn it over to Eric to complete financial review. Eric?
Eric Bussières: Thank you, Brent. Good morning, everyone. Please turn to page 13 for a brief overview of pro forma EBITDA. With the IFRS 16, it’s become difficult to compare our 2019 adjusted EBITDA to last year. Consequently, we provide pro forma adjusted EBITDA to help the understanding of our results. On a pro forma basis, the adjusted EBITDA pre-IFRS in the third quarter of 2019 would have stood at $30.3 million, down 13% as compared to $34.9 million last year for the same reason mentioned by Brent earlier. Please turn to page 15 for consolidated profits. For the third quarter, we reported net earnings of $24.6 million or $0.58 per share versus net earnings of $10.6 million or $0.25 per share last year, mainly due to the net gain on the sales of ProColor. Adjusted earnings for the quarter totaled $10.7 million, or $0.25 per share, versus $15.5 million or $0.37 per share last year. The decrease in adjusted earnings was mainly attributable to the lower adjusted earnings before taxes. Now, let me comment on our cash flow on page 16. In this current third quarter of 2019, cash flow provided by operating activities were $2.1 million versus $72.6 million last year. This variation was mainly attributable to the additional funding required for the working capital, mainly resulting from a change of payment terms of $55 million from a supplier as we had highlighted in the previous quarters, and a different timing of vendor financing transaction, partly offset by reduction in inventory. As a result, we generated $30.3 million of free cash flow for the quarter compared to $36.9 million last year. This variance is explained by larger interest payment in 2019 while 2018 benefited from a greater corporate tax reimbursement. Turning to page 17. Since our typical cash flow generation pattern was somewhat altered this year with the one-time charge of payment terms -- change of payment terms of $55 million from one supplier in the third quarter, I wanted to highlight that we are working towards neutral cash position in the fourth quarter, which would result in a similar cash generation as of 2018, once you adjust for the one-time payment. Finally, today, the Board of Directors declared dividend of $0.0925 per share payable on January 21, 2020 to shareholders of record as of December 31, 2019. This represents a dividend yield of 3.4% at yesterday closing price. Turning to page 18. As at September 30, 2019, our outstanding total net debt stood at $530 million including $104 million of lease obligations, similar to our net debt position end of Q2. In the fourth quarter, we will manage our cash flow with the expectation that our debt level will remain similar to third quarter.  Please turn to page 20 for the outlook. Our organic growth will remain positive for the year, but lower than our guidance. However, we expect our profitability metrics to be in the lower part of the range or slightly below. This completes the financial review of the third quarter. I will now turn the call back to Brent to conclude.
Brent Windom: Thanks, Eric. In summary, during the past year, we have made strategic investments to grow our business for the long term. As mentioned in CAG, we opened our largest distribution center in Calgary. We also opened a Bumper to Bumper Super Store in Montreal. We acquired Autochoice which added a solid 17-store business. We continue to grow our loyal independent members. In TPA, in the past year, we've opened six strategically placed greenfields, acquired three stores in Ireland, expanding our coverage in the UK. We also opened a new national distribution center situated in the heart of the UK to allow us the ability to grow while improving our efficiency. At FinishMaster, we are proud of what we achieved with our PIP plan so far. We continue to optimize our footprint with marginal impacts to our sales. While we're doing that, we have been renewing our distribution model to ensure that we provide most efficient methods to serve our customers. We are building for the long term. For the balance of the year, we will continue to execute to our plan, build on the solid improvements in each of the three businesses as well as managing our working capital and our debt level. Finally, we want to thank all of our shareholders, our customers, our team members for their ongoing support. This concludes the presentation. And we're ready to answer your questions. Lucy?
Operator: Thank you. [Operator Instructions] Your first question comes from Benoit Poirier. Your line is open.
Benoit Poirier: Good morning, gentlemen. Could you talk a little bit about which key markets do you see some challenges, Brent, more specifically, and give maybe some more color?
Brent Windom: Well, as far as in regards to the FinishMaster business, it's been more in the I would say the Southern California, the California markets, the western region for us as a whole. And really, the other key market would be the UK.
Benoit Poirier: Okay. And any reason why there is some softness in those regions? Is it related to the hurricane, the Brexit, or anymore granularity?
Brent Windom: I would say that as far as the UK, I think there's enough noise and enough clarity around that market with what we're facing from an economic point of view with Brexit certainly. And California has just had a tremendous amount of competitive pressure for the last probably 18 to 24 months.
Benoit Poirier: Okay. And with respect to the $5 million of additional saving to be achieved by the end of Q1 2020. Is it -- I understand, it's incremental to the $45 million, but should we expect a positive impact on the margin or it's mostly to offset softness we see in those markets these days?
Eric Bussières: Look, Benoit, it's hard for us to predict how the market will behave in the next six months or so, right? So, obviously, we're focusing on controlling our costs and managing our costs accordingly. It's certainly our hope of management that some of those efforts will result into a positive contribution to the earnings. Having said that, it's predicated also on how the top-line evolves.
Benoit Poirier: Okay. And with respect to the PIP, there was a 0 bps improvement year-over-year. Launch was in Q2 2018. Is it fair to expect the contribution to strengthen going forward and what magnitude should we expect on a year-over-year basis? 
Eric Bussières: Well, look, as I said, it's a matter of how the top-line will evolve and the gross margin. Right? I mean, the good news for is we see some stabilization on the margins. We see actually some increase in the margins. I think, TPA speaks volume compared to Q2. And we're certainly looking at it more on a sequential basis because as you know, when you take those actions, it takes a little bit of time before the actions start showing themselves in the actual costs. And that's what we're seeing. So, we're very, very pleased with the results to-date. And there's nothing that tells us that it will not be continue to be the case going forward from where we control.
Benoit Poirier: Okay. And looking at your balance sheet, Eric, could you provide some color in terms of free cash flow expectation, should we expect the number to be comparable to Q4 2018 or the net debt EBITDA to be more comparable to Q3?
Eric Bussières: So, our expectation, Benoit, as I said, in the speech was that we expect the debt level to be similar to Q3 at the end of 2019. And therefore, the cash flow for Q4 will be somewhat neutral. When you look at it on a 12-month basis, right, what we expect for 2019 versus 2018, the reality is we're generating similar cash flow of 2018, if you remove the fact that we had a one-time $55 million working capital reversal linked to the one-time payment of a supply -- not the supply chain, sorry, but the payment terms changes. So, if you neutralize this, you will see that our cash flows actually will be very similar to cash for 2018.
Benoit Poirier: Okay, perfect. And given the ongoing strategic review, could you maybe mention the -- your ability to retain employees in the current environment?
Brent Windom: Yes. I would answer that as I said earlier, the over 6,000 employees and team members we have across the three business units fully are engaged, our leadership teams are executing to the plan. That's why we're seeing the benefits we are, and certainly the growth in our customers as well. So, I'm not -- I have no concerns with that at this point.
Benoit Poirier: Thanks for the time.
Brent Windom: Thank you, Benoit.
Operator: [Operator Instructions] At this time, there are no further questions. I turn the call back over to the presenters.
Brent Windom: Thank you this morning for joining us. And thank you for listening to our Q3 results. We look forward to updating you on the progress with our next call. And we'll talk to you soon. Thank you very much.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.